Operator: Good morning, everyone and welcome to the MYR Group Second Quarter 2021 Earnings Results Conference Call. Today's conference is being recorded. At this time for opening remarks and introductions, I would like to turn the conference over to David Gutierrez of Dresner Corporate Services. Please go ahead.
David Gutierrez: Thank you, Theresa. Good morning, everyone. I’d like to welcome you to the MYR Group conference call to discuss the company’s second quarter results for 2021, which were reported yesterday. Joining us on today’s call are Richard Swartz, President and Chief Executive Officer; Betty Johnson, Senior Vice President and Chief Financial Officer; Tod Cooper, Senior Vice President and Chief Operating Officer of MYR Group’s Transmission & Distribution segment; and Jeffrey Waneka, Senior Vice President and Chief Operating Officer of MYR Group’s Commercial & Industrial segment. If you did not receive yesterday’s press release, please contact Dresner Corporate Services at 312-726-3600 and we will send you a copy, or go to the MYR Group website where a copy is available under the Investor Relations tab. Also, a replay of today’s call will be available until Thursday, August 5, 201, at 11:00 AM Mountain Time by dialing 855-859-2056 or 404-537-3406 and entering conference ID 6175534. Before we begin, I want to remind you that this discussion may contain forward-looking statements. Any such statements are based upon information available to MYR Group’s management as of this date, and MYR Group assumes no obligation to update any such forward-looking statements. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Accordingly, these statements are no guarantee of future performance. These risks and uncertainties are discussed in the company’s Annual Report on Form 10-K for the year ended December 31, 2020, and in the yesterday’s press release. Certain non-GAAP financial information will be discussed on the call today. A reconciliation of these non-GAAP measures to the most comparable GAAP measures is set forth in yesterday’s press release. With that said, let me turn the call over to Richard Swartz.
Richard Swartz: Thanks, David. Good morning, everyone. Welcome to our second quarter 2021 conference call, to discuss financial and operational results. I will begin by providing a brief summary of our -- the second quarter results and then will turn the call over to Betty Johnson, our Chief Financial Officer for a more detailed financial review. Following Betty’s overview, Tod Cooper and Jeffrey Waneka, Chief Operating Officers for our T&D and C&I segments, will provide a summary of our segment activity and discuss some of them where our group's opportunities going forward. I will then conclude today's call with some closing remarks and open the call up for your questions. Our solid second quarter performance reflects strong customer relationships, diverse market capabilities and continuous improvement of project delivery. Our second quarter results include record high net income of $21.2 million, a 58.5% increase over our second quarter 2020 net income, along with record high quarterly revenues, gross profit and EBITDA. Our backlog at the end of the second quarter was $1.57 billion, reflecting our strength in the markets we serve and the depth of our customer relationships. Our T&D and C&I segments are currently experiencing steady bidding and project activity. Trends in utility CapEx budgets show utilities expect to invest heavily in T&D transformation and upgrades. Renewable energy is a significant driver of infrastructure improvements and we are strategically expanding relationships with utilities and developers to capitalize on infrastructure and clean energy project opportunities. Our C&I market segments continue to remain active through the evolving market conditions. Market indicators point to continued recovery in the C&I industry. We continue to focus on securing work in our core markets while expanding customer relationships to maintain and strengthen our competitive position. Our T&D and C&I segments continue to attract and develop diverse talented and dedicated team members and where our group values and promotes excellence and safety project delivery and the development of our people. Collectively, we strive every day to fulfil our mission as an organization and create valuable outcomes for our customers. We are proud of our second quarter performance and are excited to continue to implement our strategies for generating growth and delivering strong financial results. Now Betty will provide details on our second quarter 2021 financial results.
Betty Johnson: Thank you, Richard and good morning everyone. On today's call, I'll be reviewing our quarter over quarter results for the second quarter of 2021 as compared to the second quarter of 2020. Our second quarter 2021 revenues were $649.6 million a record high representing an increase of $136.5 million or 26.6% compared to the same period last year. Our second quarter T&D revenues were $326.8 million, a record high for the T&D segment with an increase of 18.1% compared to the same period last year. The breakdown of T&D revenue was $210.9 million for transmission, $115.9 million for distribution. The T&D segment revenues increased primarily due to an increase in revenue on two large-sized projects associated with the accelerated schedule requirements at the beginning of a project and battery delivery and installation at the closeout of another. Approximately 50% of our second quarter T&D revenues related to work performed under Master Services Agreements. C&I revenues were $322.7 million, a record high for our C&I segment with an increase of 36.6% compared to the same period last year. The C&I segment revenues increased primarily due to an increase in revenue of various sized projects and accelerated schedule on two projects. Additionally, revenues during the second quarter of 2020 were negatively impacted by the slight slowdown of C&I work in certain geographic areas relating to the COVID-19 pandemic. Our gross margin was 12.5% for the second quarter of 2021 compared to 11.9% for the same period last year. The increase in gross margin was primarily due to better than anticipated productivity on certain projects and favorable job closeouts partially offset by labor and equipment efficiencies on certain projects. Our C&I expenses were $51.9 million, an increase of $10.7 million compared to the same period last year. the increase was primarily due to the higher employee incentive compensation costs and contingent compensation expense related to prior acquisitions. Second quarter 2021 net income was $21.2 million or $1.24 per diluted share. Both were record highs from MYR compared to $13.4 million or $0.80 per diluted share for the same period last year. Total backlog as of June 30, 2021 of $1.57 billion remains consistent with the prior year. Total backlog as of June 30, 2021 consisted of $635.1 million for our T&D segment and $931.6 million for our C&I segment. Turning to the June 30, 2021 balance sheet we had approximately $221.5 million of working capital, $8.8 million of funded debt and $362.7 million in borrowing availability under our credit facility to continue to focus on strengthening our balance sheet and our funded debt-to-EBITDA leverage has continued to stay strong at less than point 0.1 times leverage as of June 30, 2021. We believe that our credit facility strong balance sheet and future cash flows from operations will allow us to meet our working capital needs, equipment investment, overall growth initiatives, and binding requirements. I will now turn the call over to Tod Cooper who will provide an overview of our transmission and distribution segments.
Tod Cooper: Thanks, Betty, and good morning everyone. Our T&D segments continue to perform well in the second quarter of 2021. Our balanced portfolio of small to mid-sized projects alliance agreement and large-scale project is resulting in effective resource utilization as well as a solid backlog. Our current bidding activity remains solid on the small to medium-sized project and includes some larger transmission high-voltage direct current and utility scale solar projects. On the regulatory front, FERC and the National Association of Regulatory Utility Commissioners announced the formation of the Joint Federal and State Task Force on Electric Transmission that will work on identifying and realizing transmission benefits while ensuring fair cost allocation. This effort is founded on the recognition that efficient development of new transmission infrastructure is essential to the transition to clean energy generation. The task force will be focused on addressing critical issues including how to plan and pay for new transmission infrastructure and how to navigate regulatory authority and processes with the goal of improving coordination and cooperation between state and federal agencies. Positive outcomes from this task force would be expected to enable MYR Group customers to plan and implement infrastructure projects with more ease and certainty. In our annual insight survey, numerous energy executives anticipated electric vehicle charging infrastructure would represent the largest shift in infrastructure spend in the next three to five years for their companies. The proposed American jobs plan includes a $7.5 billion investment to fund the acceleration of electric vehicles and build a national network of charging stations across the country. Electrification will require significant investments in the transmission and distribution facilities to support the changing landscape of transportation, presenting growth opportunities for MYR Group companies. In alignment with our business strategy, our T&D companies continue to strengthen and maintain solid working relationships with valued clients across the United States. As a full service contractor, we continue to meet our client's needs through a wide range of capabilities, extensive industry knowledge and commitment to the energy market. The Eastern region of our business experienced an increase in renewable energy projects throughout the second quarter. We recently secured several projects and our customers continue to voice a growing need for committed and skilled contractors. MYR Energy Services recently advanced discussions with several solar developers with the goal of becoming their exclusive contractor for future projects. The Western region of our business remains active with significant proposal opportunities and a nice mix of small to medium sized projects coupled with the continued success in our long-term alliance work with several utilities. We are routinely working with customers on emergency prevention and restoration work throughout the Western region and currently are pursuing numerous opportunities on the EPC front. I'm also excited to report that our Sturgeon Electric Colorado District was recertified with OSHA’s elite Voluntary Protection Program STAR Status. This recertification is a true testament to our commitment to ensuring the health and safety of our employees. Our Midwest region remains engaged with long-term clients such as CenterPoint Energy, Amaron, Oncor and MidAmerican Energy to name a few and we continue to meet their demands for consistent reliable service. In conclusion, our dedication to our clients the health and safety of our employees and our operating principles position us well for continued success. We believe we are well equipped to remain in the industry leader, while addressing the ever changing industry and market needs. I will now turn the call over to Jeffrey Waneka, who will provide an overview of our commercial and industrial segment.
Jeffrey Waneka: Thanks Todd and good morning everyone. We are pleased that the contracts awarded this quarter were primarily fee based design service projects where our relationship and proven experience weighed heavily in the award. Although awards slowed somewhat this quarter which I'll address shortly budgeting and bidding activity remained strong and we are encouraged by the consistent economic improvements in most of our markets. The Dodge Momentum Index and Architectural Billing Index continued reporting improved project planning and design activity which is expected to generate increased opportunity as we move into the near future. The counterbalance to this good news is a recent notable disruption to various supply chains material pricing uncertainty and a growing labor shortage impacting various industries to assure our continued success. We are focusing our efforts on core markets and key relationships as the industry works its way through these post pandemic challenges. We believe our diligent and measured approach will continue resulting in steady consistent and manageable growth. Our operations in California and Western Canada are performing nicely which is creating significant new opportunities in a variety of desirable markets. These opportunities include healthcare renewables and expansions for social media companies. Many of these opportunities are with existing clients on projects. We have been helping to budget and schedule for many months. In the Mid-Southwest, work has been slower to rebound, but recent pursuits are abundant in high tech manufacturing, data centers and water management. Again, we are pleased that many of these opportunities include a relational component that is likely to improve our opportunity when these projects come to market. In Colorado, work is progressing well on the extensive improvements at Denver International Airport and on the transformational Central 70 Highway project. On building front in Colorado, transportation data centres, military opportunities are leading the way. And in the Midwest and Northeast, bidding activity remains strong in renewable energy and warehousing, although awards in this region have been hampered by post-pandemic uncertainty. Tod mentioned a couple of interesting items in the T&D segment that are equally exciting for the future of C&I. The first being the opportunity presented and the proposed Americans jobs plan to fund the acceleration of electric vehicles and to build a national network of charging stations. Along with the growth in transmission and distribution facilities to support this agenda, I will highlight the sizable impact this could also have to the commercial building landscape. Various studies show that large businesses, transportation hubs and fleet facilities of all types will need to undergo substantial renovation or a complete replacement of their electrical infrastructure to meet these goals. This high tech transformation of the transportation industry is expected to also drive advancements in growth and data centers of all sizes as the network connectivity of a battery powered world creates sweeping change. We believe this presents a significant opportunity for C&I growth as we have been positioning our teams through advanced training for several years, building teams who are prepared for these high tech projects through advanced training for several years, building teams who are prepared for these high-tech projects regardless of the outcome of the proposed plan. We believe MYR group possesses a unique ability to provide our clients with full suite of EPC services covering all aspects of project management and construction through a single source. This benefit starts in the procurement phase, our early market intelligence provided with speed and accuracy will benefit our clients. This unique collaboration between T&D and C&I segments is expected to also provide benefit on large scale EPC solar and battery storage projects across the country. We are currently working in joint pursuit of multiple projects under the MYR Energy Services umbrella. And finally I'd also like to congratulate our Sturgeon Electric Colorado C&I district for their star level recertification and OSHA's voluntary protection program for the highest level of partnership awarded by OSHA only two and 1,000 industries demonstrate the commitment to employee health and safety required to win the 00:18:50 [indiscernible] recognition. Thanks everyone for your time today. I'll now turn the call back over to Richard who will provide us with some closing comments.
Richard Swartz: Thank you for those updates, Betty, Tod, and Jeff. Our second quarter 2021 performance illustrates the strength of our core markets, the clean energy transformation, and our ability to maintain strong customer relationships. We recognize the importance of grid modernization and take pride in the role MYR Group and our subsidiaries play in the renewable energy shift. We continue to focus on bidding opportunities and projects that closely match our operating principles and diverse capabilities. As I previously mentioned we believe MYR Group is strategically positioned to generate growth while delivering shareholder value. I want to thank each of you for your continued support of MYR Group We look forward to progressing our business strategy while emphasizing our values and client relationships. Operator, we're now ready to open the call up for your comments and questions.
Operator: [Operator Instructions] Please stand by while we compile the Q&A roster. And your first question comes from Sean Eastman with KeyBanc Capital Markets.
Unidentified Analyst: Hi, team. This is Arc on for Sean this morning. Thanks for taking our questions. Good morning. I'm curious on the accelerated schedule requirements for those two large T&D projects. I guess one is closing out and the others probably seeing more revenue pushed into this year. Do you think this creates a tough revenue comparison for next year or do you think the T&D backlog in bidding environment supports continued growth next year?
Richard Swartz: We're certainly what we're seeing today would lead to us saying that that's the hopefully the growth continues and we can land a couple of the projects if they come out that are large and that trend will continue. I think it's pretty normal operating on a large project to have this revenue kind of pushed towards that first third of the project as we mobilize and we bring in sub-contractors and we bring in material. So I would say it was -- it just increased costs during this last quarter. But it will level out after that and continue on through the duration of that project.
Unidentified Analyst: Got it. That's helpful. And has your outlook for the T&D business changed at all over the last couple of months with the increased hurricane and more notably wildfire activity that we've been seeing in the West Coast this year. I mean we saw some news intra-quarter on PG&E over in California putting out a nice sized capital spending plan including underground mining. Just thoughts on this from a transmission versus distribution opportunity would be very helpful?
Richard Swartz: Sure. Tod, do you want to start?
Tod Cooper: Sure. Sure. From a distribution perspective that's primarily where we see the assistance, we provide utilities with restoration for fire as well as the hurricane season. We are - we're positioned well to assist them when needed, if needed. We typically perform our restoration work with the existing crews that we have just from a quality and safety perspective. There's an uptick in that from a number of hours worked. The level of it moving the needle is really dependent upon the size and the resources that are required. But we're optimistic about the entire industry right now. I think you read that within our script and we're just prepared to assist should we be needed for restoration efforts.
Unidentified Analyst: Got it. And if I could just sneak one more in on the C&I segment. I mean leading indicator’s just been really strong and kind of shown an unprecedented rebound and then in the industry forecast we track we're upwardly revised a week ago. But the revenue growth rates we've seen in your C&I business are substantially better than the peers in the industry forecasts. I'm just wondering if you could help us understand what's really driving that strong growth. Is it like more of a specialized geographic presence or to less infected areas or is it more exposure to secular growth on markets any help there would be great?
Richard Swartz: Yeah. We’ve had a substantial backlog for quite a while here and we're seeing some of that burn at this point. So we’re feeling like the markets are good. We did talk about, the bidding activity has been very strong. And it looks like it's going to continue to be strong. We have seen a little pullback on awards, we’re waiting longer to see those markets actually -- projects actually be awarded. But as Tod said, we're feeling like there's sort of a good opportunity out there.
Jeffrey Waneka: Yeah, and as we've discussed before on the phone calls is kind of this, I think it has to do with the some of the increases on material, the commodity price increases and some of these projects are being pushed out slightly on the award dates and we're seeing that on both sides on the solar side, on both sides of our business and on a few adjust projects. I think will that stabilizes out and hopefully settles down, I think -- I don't think it's not a matter of -- if the projects are going to be built, it's one they're going to be built and there might be a few months delay. And that's kind of how we look at it as that commodity price kind of settles down and come back and developers that matches the model they had as far as their financial model they had to build the project. So we see that side. On Tod side, the only thing I would add to your last question is with some of the heat we've seen in areas we have seen some of our MSA work trend down during the hot seasons and that kind of started very, the very end of last quarter and we see that continuing. So you're not allowed to work on those right away is when the extreme heat there because they don't want to have outages, so that can affect us a little bit going forward into this quarter. But it always -- it’ll settle back down after this quarter, when the heat index really goes back down.
Operator: And your next question comes from Justin Hauke with Baird.
Justin Hauke: Well, good morning, everybody. So I was just going to ask just kind of curious philosophically about the buyback, because you haven’t bought stock in four or five years I guess, but you put in a new authorization last October and nothing under that yet in the balance sheet now and you’re almost in a net cash position. So I’m just curious about your thoughts on that and how we should interpret that?
Richard Swartz: Sure. That was a one year stock buyback program we put it into -- in place. I think with our board and our management team we look at opportunities out there whether it's acquisition whether it's organic growth. You can see the growth we've had organically in expanding our businesses even without doing an acquisition. So, we continue to push that side and invest. I think we continue to look at buybacks. We are -- we have always been an opportunistic buyer and then we weigh it against opportunities we see out there for organic growth and acquisitions again and it's just something we have not pulled the trigger on because right now we see other opportunities out there that we may be able to capitalize on.
Justin Hauke: Okay. My other one I guess more of a technical question, but is there any way you can size that accelerated work that kind of came in the quarter here? I think you said that there's not a sequential downtick as that work will stay steady. But to the extent you can cite the law that’d help in the T&D side.
Tod Cooper: Yeah. I can address on the T&D market where we had the increase during the quarter and our revenue. Basically, that $50 million increase was primarily due to those two jobs. We're not segregating it between the two, but between those two it's the majority of that $50 million year-over-year increase.
Operator: And your next question comes from the line of Noelle Dilts with Stifel.
Noelle Dilts: Hi, guys. Congrats on another good quarter. I was hoping that you could just expand, I know you should have mentioned some of this but on the labor and equipment inefficiencies that you mentioned in your press release in your 10-Q I'm just kind of, I'd like to better understand exactly what you're seeing in the market and if you expect this to get a little bit better or a little bit worse as we look forward over the next couple of quarters?
Richard Swartz: And when you look at that the labor and inefficiencies in the equipment it's not specific. It's not because we can't come up with people. A lot of it has to do like on the T&D side where some of our projects we can't fully work because of the heat I was talking about, so we do have some stranded equipment cost and that kind of stuff and labor that's not fully productive. I mean it's productive, but there are different times and you've got to be there is still service to customer for cools down. So I would say that's where that primary and then one-off whether locate you might have run a portfolio business, you might have a one-off project that's affected by weather but nothing systemic.
Noelle Dilts: Okay.
Jeffrey Waneka: On the C&I front, it's really just getting through a couple what I'd call low-margin projects that finish up this year and it's really just finishing that side and that's where we've seen some inefficiencies, but it's in certain geographic I would say areas with a couple of projects that we're getting through right now.
Noelle Dilts: Okay. Great. And then I know there's been -- there have been quite a few questions. I'm so sorry to beat a dead horse, but in C&I given that you are kind of focusing on these core markets and key customers as you sort of deal with some of these projects may be getting pushed out a little bit or competition in certain markets. So do you think we could see backlog kind of continue to tick down for just a couple of quarters here in C&I as you wait for things to settle out or do you think that some of this activi0ty could start up awards could start to pick up in the next before the end of the year? Awards could start to pick up in the next - before the end of the year.
Tod Cooper: We sure hope that they pick up, but it's very hard to tell. We have a number of projects that we've been pricing for our clients for a few months now. And as Richard mentioned we're hoping that the volatility in materials will settle down a bit and that will give the owners the confidence they need to move forward. There are a number of them that are out there that we’re just waiting to hear what the results will be. I think we're positioned well. It's very difficult to tell how soon that's going to rebound.
Noelle Dilts: Okay.
Tod Cooper: In fact, it was always lumpy for us. I don't get overly alarmed when I see a decline in our backlog. It's really what projects are we bidding what are we chasing what opportunities do we have. And as I said earlier it's not a lot of these projects we're chasing. It's not if they're going to be built because they're going to be built. It's really just a matter of when.
Noelle Dilts: Okay.
Tod Cooper: So I think it's really just getting in there and working with the owners and the developers to make sure that the projects are able to be built and a lot of that has to do with them just looking for -- waiting for the commodity market to settle down a little bit.
Noelle Dilts: Right. Okay perfect. And then again a lot of discussion of sort of that impacts of commodities on project timing within C&I in particular. Are you facing any challenges with the cost of materials or passing any of that through more any slight more direct impact that you're seeing from commodity prices?
Richard Swartz: Those impacts are out there. I believe our teams are doing a very good job of managing through those. Working with our clients various issues to mitigate any increase is there. We also talked about on the bidding front that we're very careful in how we propose on projects based on the volatility in the materials market now. But it's been -- they've been very isolated in small cases where there's been an impact. We don't see anything where except its systemic or impacting the overall industry.
Operator: And your next question comes from the line of Brian Russo with Sidoti.
Brian Russo:  Yeah. Hi. Good morning. Hey. Can you maybe talk about the segment operating margins. It looks like you've been at the top of that 69% margin target at T&D for the last several quarters. Are we entering a period of time maybe based on the mix of projects that those types of margins are sustainable and then the same thing with the C&I margins near 5% in the first half of this year and I think correct me if I'm wrong, but you mentioned that you're working through some lower margin projects, so with the higher end of your targets be reasonable looking forward?
Richard Swartz: Yeah. Good question, Brian. I would say that we're happy to say based upon the last several quarters of seeing the results for our T&D segment being absolutely above our 6% to 9% operating range that we've quoted for a very long time. At this point in time, we really believe that that range should be in the 7% to 10.5%. So you're right. We have been up there and that's based upon the overall market that we see going forward as well as things that we've put in place to improve our overall productivity, project management test that we’ve been talking about for the last couple of quarters. From a C&I perspective, we still believe that 4% to 6% range is still a reasonable range in that occupancy and that’s come up a little bit higher than we have in the last two years. We feel like we can - we're working towards getting up to the higher-end of that range, but nothing to change that at this point.
Brian Russo: Okay. Great. And then just a follow up on commentary on electric vehicle infrastructure and charging stations, it seems like you guys are well positioned there. Are you at all involved with the Electric Highway Coalition which is that growing group of utilities that are looking to form a nationwide connection of charging stations and does that -- is that C&I work or is it also T&D work?
Richard Swartz: It can be either of our groups depending on where it's at. They work very well together. We've got a lot of overlap between our businesses. So, we operate as one to the customer kind of what Jeffrey was referencing in a lot of his stuff that that tied us into the T&D Group and that's not just two separate operations. We operate as one team. So in order to service our customers and then we will -- then we divide revenue where it needs to go among the two groups. That's the least of our concerns. So those can benefit both groups. I think as far as being a member of the coalition, we're not a member of that coalition but we work closely and follow that information and we work directly with a lot of those utilities to be able to hopefully in the future be their contractor of choice.
Brian Russo: Okay. Great. And then a common theme with utilities over the last several quarters if not years has been renewables and transmission infrastructure spend, there's some meso planning which forecast billions of billions of dollars of needed transmission. I’m just wondering in conversations with your customers are, are you getting close to projects to add to the backlog or are you just still in discussions and bidding is in early stages longer term projects which arguably take many years to develop due to permitting et cetera?
Tod Cooper: Brian, this is Tod. Right now the market is quite active for all types of work, for the reliability work on the transmission side that we do, all of the system improvements the interconnects that that are out there associated with the renewable projects. But we have several projects that are in the bidding phases right now of all sizes small to medium, some large scale projects as well. Richard always talks about our backlog being lumpy on the T&D side, right now we have a couple of large projects that are burning off some, some revenue and that as it stands today there are some nice projects that are in the hopper that just haven't been released yet and that's kind of normal from what we see.
Brian Russo: Got it. And just.
Tod Cooper: The only thing I would add to that is I think this year you will see a few large projects come out to bid, US you as kind of a progress or they just all in permitting. I think some of them they're working through those permitting issues and I didn't see it probably amped up from what it was a year ago as far as large project activity.
Brian Russo: Okay. And when you say large project you mean similar size as the LS Power Project that was announced back in November which when you look at the T&D backlog it seems like that might be really the sole driver of the year ago backlog versus today on the T&D side?
Tod Cooper: Yeah. Yeah. I think when you look at that idea when I say - when you say that project I would reference that though that we look at large projects anything over a 100 million. So it's not - it doesn't have to be that large. But we're talking projects that are $100 million because a lot of it comes into what subcontractor material components are released to us under the contract and each one is going to vary. So we always say that $100 million mark to mark large projects and we see that activity being out there. Your statement about part of our burden and Betty referenced in her comments back where it was on that Marcy to New Scotland Project. So that is correct.
Tod Cooper: Okay. And then just lastly and quickly obviously your cash position is building which is a good problem to have. It seems like you've chosen not to buy back stock, but in terms of M&A criteria are and we've seen some assets change hands on the C&I side, are you more focused on one particular segment to grow through selected acquisitions or is it regions or any return criteria you might be able to provide or any other profile of acquisition targets you might be considering?
Richard Swartz: For us it's going to be what we're looking at is on the T&D and C&I side. I don't have a preference of one over the other. It's really finding the right company. That's the right fit for us. That's culturally the right fit and then being able to buy it at the right price. So everything's got to line up. We're patient when it comes to that side. The good thing is we're in a position where we don't have to buy a company. We don't have to do stock buybacks. I mean we'll do them as they make sense. But we're also looking organically of how we grow our business and we continue to do that. And we'll continue to push that side especially with the market dynamics that are out there today. So I would say it's going to be a mixture of all three going forward long-term. But again we're going to assess each opportunity out there and try to capitalize on the right one.
Operator: [Operator Instructions] Your next question is from Jon Braatz with Kansas City Capital.
Jon Braatz: Good morning, everyone. Richard, in your prepared comments you referenced expanding relationships within the T&D sector. And I guess my question is does that mean that you're beginning to offer additional services capabilities to the T&D the utility industry that maybe wasn't available, you weren't capable over years ago or quarters ago so to speak?
Richard Swartz: Yeah. I'll let Tod start and then I'll add to it.
Tod Cooper: Yeah. If you go back a couple of years, you can see that our entry into the solar market a year and a half ago or nearly two years ago is one of those areas. And that is an area where we are really expanding our relationships with the – not only the investor owned utilities, but as well the developers that are part of that. So those relationships continue to expand as do the relationships when we try to take our core capabilities throughout all of our areas in the country and what I mean by that is there may be some areas where we’re extremely strong on the transmission front and are doing a lot of transmission work through utilities and trying to continue to work with those utilities on developing for instance the distribution work that we do for other companies and bring in it through best practices to them.
Jon Braatz: Okay. Got it. Yeah. How much solar business are you doing? Can you give us a sense how big solar is at this time?
Richard Swartz: We don't disclose that as a company. It's not 50% of our business.
Jon Braatz: Sure.
Richard Swartz: It's climbing every day and we see that as a good opportunity for us to continue to grow. And as I said before, it touches both sides of our business.
Jon Braatz: Yeah.
Richard Swartz: It's a customer relationship sidewise. So we do it both on our C&N and T&D side and it's a growing business and we're excited about those opportunities and as I said before, we've been in this renewable market since that 2010-2011 timeframe. So it's something -- it's not new to us. But, the opportunities out there in the growth we're getting through that are good going forward and we're excited about that market.
Jon Braatz: Okay. Great. Thank you much.
Operator: We have no further questions on the phone. At this time, I would like to turn the conference back over to Richard Swartz for closing remarks.
Richard Swartz: To conclude, on behalf of Betty, Todd, Jeff and myself I sincerely thank you for joining us on the call today. I don't have anything further and we look forward to working with you going forward and speaking with you again on our next conference call. Until then, stay safe.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.